Operator: Good afternoon. My name is Bailey, and I will be your conference operator today. At this time, I would like to welcome everybody to the CoStar Group Third Quarter 2022 Earnings Call. [Operator Instructions]. Now Cyndi Eakin, Head of Investor Relations, will read the safe harbor statement. Cyndi, you may begin.
Cyndi Eakin: Thank you, Bailey. Good evening, and thank you all for joining us to discuss the third quarter 2022 results for the CoStar Group. Before I turn the call over to Andy Florance, CoStar's CEO and Founder; and Scott Wheeler, our CFO, I would like to review our safe harbor statement.  Certain portions of the discussion today may contain forward-looking statements, including the company's outlook and expectations for the third quarter and full year 2022 based on current beliefs and assumptions. Forward-looking statements involve many risks, uncertainties, assumptions, estimates and other factors that can cause actual results to differ materially from such statements. Important factors that can cause actual results to differ include, but are not limited to, those stated in CoStar Group's press release issued earlier today and in our filings with the SEC, including our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q under the heading Risk Factors. All forward-looking statements are based on the information available to CoStar on the date of this call. CoStar assumes no obligation to update these statements whether as a result of new information, future events or otherwise.  Reconciliation to the most directly comparable GAAP measure of non-GAAP financial measures discussed on this call include EBITDA, adjusted EBITDA, adjusted EBITDA margin, non-GAAP net income, non-GAAP net income per diluted share and forward-looking non-GAAP guidance are also shown and detailed in our press release issued today, along with the definition of those terms. The press release is available on our website located at costargroup.com under Press Room.  As a reminder, today's conference call is being webcast, and the link is also available on our website under Investors. Please refer to today's press release on how to access the replay of this call.  And with that, I would like to turn the call over to our Founder and CEO, Andy Florance.
Andrew Florance: Thank you, Cyndi. Good evening, everyone, and thank you for joining us for CoStar Group's Third Quarter 2022 Earnings Call. This is our 97th consecutive earnings call.  Total revenue for the third quarter grew 13% year-over-year on a constant currency basis to $557 million, coming in at the high end of our guidance range and above consensus estimates. We delivered exceptional results in the third quarter with annualized net new sales bookings of $76 million, a 62% increase over the same quarter in 2021. This is our second highest quarterly net sales bookings number ever.  Adjusted EBITDA was $153 million for the quarter, exceeding the high end of our guidance range and consensus estimates. As a result, we're raising our full year outlook for both revenue and adjusted EBITDA.  Apartments.com surged, turning in the highest sales month ever in September and its second highest sales quarter. Year-to-date, net new sales for Apartments.com are up 192% over the prior year. Apartments.com revenues were $190 million in the third quarter, increasing 11% over the third quarter of '21. We are now back to double-digit revenue growth and expect the growth rate to improve in the fourth quarter.  Tight multifamily market conditions have been a headwind for Apartments.com, but are now shifting and may, in fact, become a strong tailwind. Vacancy rates rose to 6.1% in the third quarter, an increase of 40 basis points from the last quarter. This is the fourth consecutive quarterly increase in the vacancy rate, and we are now only 40 basis points below the historical long-term average vacancy rate.  Unit absorption rates dropped to 52,000 units in the third quarter from 67,000 units in the second quarter. This is the lowest absorption rate in the past 11 quarters. At the same time, though, unit deliveries increased from the second quarter to $122,000, which is at the higher end of historical averages. With the number of units under construction nearing all-time highs and absorption moving towards all-time lows, vacancies are expected to rise further in the coming quarters, which we believe will increase the demand for advertising. The Apartments.com sales force delivered absolutely outstanding results in the third quarter. Good work, Paige and team.  Our gross sales productivity per rep was 91% versus the same quarter last year, reaching an all-time high. With 60,000 apartment buildings on the platform, we have now reached an all-time high for participation. Given that we are still very early with relatively low market penetration in this opportunity, we continue to hire aggressively and have increased the sales force by 26% since the end of last year. We plan to continue growing the team over the next year or so until we have doubled the sales force.  Our nationwide ad campaign has delivered over 12 billion media impressions and led to an all-time high in consumer brand awareness. Apartments.com continues to provide the highest quality consumer traffic to our customers. We believe that a specific purpose sites such as Apartments.com delivers higher intense leads. We also believe that third-party lead analysis shows that our leads convert to leases at significantly higher rates than any of our competitors. Overall, I'm extremely pleased with the strong performance of Apartments.com marketplace and sales team and have increasing confidence in our ability to return to 20% revenue growth.  Revenue for CoStar was $213 million in the third quarter, representing a 17% increase over the same quarter a year ago on a constant currency basis. CoStar sales results increased 55% in the trailing 12 months compared to the trailing 12-month sales in the same quarter a year ago. We surpassed 180,000 subscribers in the third quarter and continue to maintain high renewal rates at 93%.  Our consistent double-digit revenue growth and high renewal rates for CoStar are a result of ongoing product investments that broaden the capabilities of CoStar and allow us to reach new customers. Integrating STR hotel data opened up hospitality investors as customers, while our new lender product to make 6,000 medium and large lending institutions, great prospects to become customers. We literally have dozens of major potential product enhancements on our product road map, which will continue to deliver revenue growth opportunities for the next decade or more.  The next product enhancement on the CoStar roadmap involves adding information on 12,600 commercial property investment funds that invest almost $3.6 trillion in commercial properties around the world. These investment funds hold over 70,000 commercial properties. Over the past year, our research team has been linking the investment fund's property information to properties in CoStar and adding properties in countries that are currently not in our data sets. Approximately 70% of the investment fund properties are in the United States, Canada and the U.K., while the remaining 30% expand our property coverage throughout the rest of the world.  For the first time, these fund investors will have new detailed analytics on their property portfolios through CoStar. They'll be able to access information like historic sales comps, leasing history, pricing, vacancy rates and other important details to help understand their portfolios better. In addition, brokers and owners looking to sell properties will be able to clear the investment fund data to determine which funds still have dry powder and are looking to invest in properties that are similar to theirs.  I believe this new investment fund capability unlocks significant potential revenue opportunity. The investment on product is scheduled to release in CoStar in the first quarter of 2023. We believe that there is significantly more revenue opportunity ahead for CoStar, so we're continuing to grow our CoStar sales force to better capture that opportunity. We've added over 50 new sellers so far this year and plan to continue to expand both in the U.S. and internationally. As we add to our sales teams, we've seen productivity levels increase as well.  Average gross sales per rep are higher this year than in any single quarter in the past 5 years. With our strong product development capabilities and continued investments in our sales team, I'm confident in our ability to sustain strong double-digit growth in CoStar for many years.  LoopNet third quarter revenue was $59 million, up 13% over the prior year on a constant currency basis. Net new sales bookings for LoopNet in the third quarter are up 99% over the third quarter of last year. Just 1 percentage point shy of being up 100% year-over-year. We'll try harder next time.  Our sales team is now producing consistent, strong sales results every month. Over the past 6 months, we've produced more net sales bookings than we did in all of 2021. I'm very encouraged by the progress that Dave Male and his team are making as we grow our dedicated LoopNet sales force, which is now 3x the size it was from the beginning of the year. We have now surpassed 100 dedicated sales reps.  The result is that dedicated LoopNet sellers now account for roughly half of all the LoopNet sales, and the CoStar sales force is delivering the other half. This is an improvement from a year ago when our dedicated LoopNet sales team produced roughly 1/3 of LoopNet sales. In the long term, we want to free up the CoStar sales force to focus more effort on CoStar as it approaches $1 billion in revenue.  Traffic to our LoopNet network of sites reached a high in the third quarter, averaging approximately 13 million unique visitors per month. We now hold the #1 keyword rank across 130,000 commercial real estate search terms and sort to the #1 position 97% of the time across 10,000 of the highest-performing U.S. commercial real estate search terms.  Our Space for Dreams media campaign has proven very successful, delivering over 200 million impressions across TV, social media and the web in the third quarter. We continue to expand LoopNet internationally with plans to launch loopnet.co.uk across the United Kingdom in early November. Following our successful launch of LoopNet in Canada in the first quarter, we believe there is significant brand efficiency, revenue, profit advantages in operating a multinational property marketplace.  We estimate the potential revenue for digital commercial property advertising in the U.K. to be well north of $100 million, which up to this point is largely untapped. Loopnet.co.uk will bring together the market-leading traffic position of Realla, with a proven international LoopNet brand. We intend to redirect traffic from Realla to LoopNet and sunset Realla. It's been a very successful site.  As our CoStar clients in the U.K. are renewing their annual CoStar contracts, our sales force is working with them to add LoopNet advertising to their service. Today, many of the listings on Realla have been free in order to build traffic, but our goal is to convert many to pay on LoopNet over the course of the next 18 months.  Following the launch of LoopNet in the U.K., we'll turn our attention to rolling out LoopNet in France, Spain and Germany in 2023. We're really excited to deliver the first multinational commercial real estate marketplaces, and we believe it will have huge appeal. We believe that the LoopNet opportunity is in excess of $1 billion as we extend across Europe.  Our Ten-X digital auction platform performed very well in the third quarter despite a significant slowdown in overall CRE sales volumes due to the disruption caused by surging inflation and the rapid increase in interest rates. While CRE transactions were down in the market by almost $30 billion in the third quarter, the volume of properties brought to the Ten-X platform increased 88% over the prior year.  Consistent with prior quarters, over 80% of the assets brought to the platform through Ten-X are still market rate performing assets, and less than 20% of the assets are distressed properties. I expect a significant increase in distressed properties in the quarters to come.  Clearly, the commercial property transaction market is in a period of disruption, with buyer and seller expectations not yet on the same page. Buyers are quick to recognize price drops, but sellers are slower to accept reality. The result is an overall drop in sales volume across the board. As expected, we are seeing a drop in the rate that properties brought to the platform actually end up selling, what we call the trade rate. The Ten-X trade rates rose to highs of 75% in the fourth quarter of 2021, and have since dropped 27% to around 55%. Nevertheless, Ten-X continues to be a more effective way to sell properties, because in the same time period, we saw traditional off-line trades dropped from 42% from a 43% trade rate to a 55% trade rate.  The Ten-X platform trade rate went from outperforming off-line sales by 74% in a stable market to outperforming off-line sales by 120% in a dislocated market. We believe the buyer-seller dislocation is a near-term event that will resolve itself over the next 2 to 3 quarters. Generally, once buyer and seller's expectations align again, sales volumes increase and distressed sales grow significantly. Currently, distressed sales rates are at multiyear lows, but believe they will significantly climb in the intermediate term.  In 2008, the year of significant economic dislocation, there were only about 2,900 distressed commercial property sales, and distressed sales took years to peak with about 16,000 distressed sales in 2012. Year-to-date, similar to 2008, there's only been about 2,178 distressed sales. I would not be surprised if the number of distressed property sales quadrupled over the next few years, creating significant revenue opportunity for Ten-X.  We've made a major investment to integrate Ten-X into CoStar and LoopNet, and we have dramatically increased the size of the Ten-X sales force. In the next few months, we'll complete all those integration efforts of Ten-X, enabling significant scale efficiencies. I believe the platform has never been stronger and is ready to handle a surge in activity.  Regardless of where we are with the economic cycles, we're building Ten-X for the long term. I'm confident our Ten-X digital platform will become the industry standard for fast, efficient property transactions, both for performing and distressed assets. Regardless of the economic cycle, Ten-X will be ready.  Our residential business continues to perform well, with third quarter revenue of $19 million. Registered agents for our Homesnap Pro and Pro+ products have grown to over 958,000 at the end of the third quarter, an increase of 23% over the same quarter last year. We're getting close to 1 million registered agents.  Registered agents for Citysnap are also growing rapidly. We now have approximately 70% of the Real Estate Board of New York agents registered to use Citysnap, and we only launched the product a little over 3 months ago. Traffic to Homes.com continues to grow, with average monthly unique visitors for the third quarter, up 52% compared to the third quarter of 2021. Site visits to Homes.com were up 83% of the same period last year according to Google Analytics. The greater increase of visits to visitors shows deeper engagement with the site.  I'm encouraged by the rapid improvement in consumer traffic. We do have a long way to go, but we're tracking just where we were with traffic growth on Apartments.com at the same time. And Apartments.com was a very successful launch. According to ComScore, September 2022 over September 2021, Homes.com visits grew 27%, while in the same time period, Zillow fell 22% and Realtor fell 30%.  As we communicated before in previous earnings calls, our residential product strategy is centered around a Homes.com marketplace that advertises the home as opposed to just advertising agents. We believe consumers that search for properties for sale in a marketplace like Homes.com have higher intent to consumers who are served home-for-sale ads randomly across social media or the Internet. Our objective is to partner with the 1.5 million agents in the United States in support of your listing your lead approach and enable consumers at any agent to collaborate digitally throughout the home buying or selling process.  We're focused on building complete coverage of residential listings throughout the United States, as well as developing unique proprietary content by leveraging the skills and capabilities of our awesome nationwide research organization. Overall, we're making great progress developing Homes.com across all these strategic areas, and are looking forward to showcasing a number of our agent-focused product features at the upcoming National Association of Realtors Convention in early November. In fact, I believe we have a big product release Thursday or Friday of this week, if you want to check out some of the incremental upgrades at the end of the week.  With rising interest rates and a rapidly cooling residential property market, I believe now is the perfect time to invest in a marketplace that's designed to help consumers and their agents advertise and sell properties faster and at a higher price. Deteriorating market conditions may well create a tailwind for our business model.  The majority of Homesnap's revenue is from reselling social media and search engine advertising to agents. We believe that this revenue, while it's good revenue, is less strategic, less durable and just playing less of it than the potential revenue generated by a potentially successful high-intent marketplace like Homes.com. This is a lesson we've learned from our experience with Apartments.com for rent, LoopNet and other marketplaces we operate.  In the coming quarters, we're going to deemphasize selling Homesnap concierge and Homesnap Pro+ and temporarily shift those selling resources to our marketplaces, Apartments.com and LoopNet. Our sales teams will gain new skills and become even more well-rounded sellers across multiple marketplaces. After a brief transition period, we believe that we will generate more revenue overall with a shift in sales force allocation. As we have communicated previously, when we have built critical traffic mass for Homes.com we will then reallocate or allocate significant selling resources to Homes.com.  There is a potentially interesting development in the residential industry I want to briefly mention. We're closely monitoring ongoing antitrust litigation involving residential listing associations, or MLSs, and 1 that's currently pending in the Western District of Missouri. A class of home sellers allege that NAR and brokerage [indiscernible] created enforced anti-competitive rules that require home sellers to pay a nonnegotiable commission to the broker representing the home buyer, resulting in inflated buyer-side brokerage commissions.  To date, the planners have had some success to feeding a motion to dismiss and succeeding class certification. The case is scheduled for trial in February. If the plaintiffs in this case or other similar cases succeed, this could have a significant adverse effect on residential marketplaces that rely primarily on broker sharing commission revenue models.  Our residential sales strategy should not be impacted as we are focused on a property advertising model. I do not believe that judgment for the plans would significantly adversely impact most residential agents because most do both seller and buyer representation, and the judgment would just shift fees from the buyer representation business to the seller representation business. More on that in February.  The rise in interest rates over the past 7 months is certainly weighing on real estate driving prices down and reducing sales volumes. The slowdown has been broad-based across property types and geographies. Office vacancy rates continue to climb as companies continue to recover from the pandemic. And a significant number, but minority of workers continue to work from home. In the third quarter, vacancy rates rose to 12.4%, and that's approaching historic highs.  Inflation-adjusted rents are well below normal levels and rent growth is at a 10-year low. Net absorption has been negative for 7 of the last 10 quarters. Office vacancy will continue to rise and rents will continue to likely experience negative pressure. However, each quarter, millions more office workers are returning to working in person because of the significant advantages of in-person collaboration.  According to [indiscernible] security in January of this year, usage of office space was only about 16% of the prepandemic levels. But by last week, office usage had tripled this year to 49%. So from 16% at the beginning of the year to 49% now. That's a pretty fast climb. The trend is obvious. Traditional office using white collar employment is continuing to grow, which means there's more underlying demand. And as more and more people return to the workplace, but new office construction starts are very, very low. This suggests that while we're -- while in the short term, the office market will be very soft and there may be significant distress, there may be a significant rebound 2 to 3 years out. I believe that CoStar, LoopNet and Ten-X can function very well in this sort of volatile economic environment.  The story of the industrial sector is very different. Industrial vacancy fell to 3.9% in the second quarter, the lowest rate seen in the sector's history, but ticked higher in the third quarter as developers responded to robust demand. New completions expected in 2023 exceed any annual amount delivered in the last 30 years. Despite these numbers, the sector remains remarkably healthy.  Net absorption in the retail sector drifted lower in the third quarter, although slowing demand has outpaced new supply for 6 consecutive quarters, leading to the third quarter vacancy of 4.3%, the lowest retail vacancy rate recorded. Tight vacancies have given rise to some of the strongest rent growth in history, with the third quarter nominal rent growth of 4.5%.  As the Federal Reserve battles inflation, mortgage rates are rising to their highest level in years. Combined with double-digit home price gains over the past 2 years, affordability has deteriorated to levels not seen in more than 30 years. With buyers being priced out of the market, home sales are tumbling and prices are falling.  Despite the market uncertainty, I believe CoStar is well positioned to sustain our revenue growth and profit through a potential economic cycle. We have proven to be very resilient in previous downturns, which I believe is a direct result of our diversified product mix, low customer concentrations, mission-critical products and a strong predictable subscription model.  We have a loyal and exceptional team of leaders and employees working together in our offices, resulting in the best employee retention rates we've seen in years, if not decades. We're expanding our sales capabilities and geographic reach, unlocking new customer segments and revenue opportunities. Our balance sheet has never been stronger, and we view a downturn as the perfect time to go shopping.  More than 3 decades ago, while I was still a college student, I founded CoStar in a dorm room with an ambitious vision of digitizing the world's real estate. That first year, we realized a poultry revenue of $7,000. But CoStar was in the right place at the right time. There is almost $200 trillion of real estate in the world, and leading that effort to digitize it can unlock massive value. This mission has drawn a margin of investors and energized colleagues who brought life to the vision. Year-by-year, decade-by-decade, we've consistently and persistently grown those poultry revenues into the impressive billions.  This quarter, we achieved an accomplishment almost no company ever achieves, we made the S&P 500. We're also proud and grateful to be here. We're here because of a remarkable group of colleagues who are committed to this mission of digitizing the world's real estate, empowering all people to discover properties, insights and connections, all of which improve people's businesses and lives. Going forward, we are now single mindly focused on reaching the S&P 100.  At this point, I'm going to turn the call over to our Chief Financial Officer, Scott Wheeler.
Scott Wheeler: Thank you, Andy. I sounded great today. I'm not sure if it's the microphone, but I hope you're in as good a voice in the Q&A session. Well, third quarter certainly was another great quarter, a great way to start our first earnings release in the S&P 500. I definitely agree, we're well positioned strategically and financially regardless of economic volatility and the external market conditions. Certainly encouraged by our strong performance across all of the information and marketplace products in our portfolio.  Let's start with CoStar as the product revenue grew 17% on a constant currency basis in the third quarter and 16% in total after considering the devaluation of the British pound. Over half of our revenue growth in CoStar is from new customers, which speaks to the success of the new product introductions that Andy talked about. CoStar product revenue has grown at least 15% every quarter this year, and we expect 15% revenue growth to continue in the fourth quarter, which is 16% on a constant currency basis.  Multifamily revenue growth in the third quarter was 11%. The number of properties on our platform is growing, and we also see positive underlying trends in our ad sales mix. Customers upgrading to higher value ad packages is once again outpacing the value of properties downgrading to lower-priced ads. With strong sales momentum and an improving economic backdrop for advertising on Apartments.com, we now expect multifamily revenue growth of 16% in the fourth quarter and 10% for the full year of 2022.  LoopNet revenue grew 13% in the third quarter on a constant currency basis, in line with our guidance expectations. We expect fourth quarter revenue to grow, to trend similarly to the third quarter at 12% to 13%, with full year revenue growth of 11% to 12%. Revenue from Information Services grew 14% in the third quarter, ahead of our 11% guidance estimate on revenue, primarily as a result of STR revenue favorability. Both Real Estate Manager and STR each grew double digits in the third quarter. We expect full year 2022 revenue growth of 10% in information services, unchanged from our prior guidance.  Residential revenue decreased 22% overall for the third quarter of last year as expected due to the runoff of the acquired nonstrategic revenue from Homes.com. On an organic basis, excluding Homes.com, revenue grew 13% in the third quarter. Subscription revenue grew 44%. Our expectation for full year 2022 residential revenue remains unchanged at $73 million.  During the third quarter, we made a strategic decision to eliminate certain usage fees related to agent access to the Homesnap Pro application. The Pro version of the Homesnap application is now free to all agents in our multiple listing service network. As a result, we accelerated $16 million of amortization in the third quarter for intangible assets that were recorded as part of the purchase accounting for the Homesnap acquisition.  Other marketplaces revenue grew 12% in the third quarter of 2022, led by continued strength in our lands and business for sale marketplaces. Ten-X revenue growth slowed in Q3 as a result of the market dislocation that Andy discussed. We adjusted our Ten-X fourth quarter forecast to reflect a continuation of this trend. As a result, we now expect revenue growth in our other marketplaces sector to be 10% in the fourth quarter and 17% for the full year of 2022.  Adjusted EBITDA for the third quarter was $153 million, exceeding the high end of our third quarter guidance range by $13 million. Total costs in the third quarter were lower than our forecast as a result of investment spending levels in our residential products. We are leveraging more of our existing internal research teams to build out our content, resulting in higher quality content. We are now hiring full-time residential research teams, not contractors, which results in lower investment spending levels this year.  Our marketing investment was also lower than our forecast in the third quarter, a trend we expect to continue through the end of the year due to our strong traffic. Our revised estimate for the incremental 2022 residential investment spending is now in the $125 million range compared to the $180 million to $200 million previously communicated.  Our sales force has eclipsed 1,000 sellers for the first time, totaling 1,090 salespeople at the end of the third quarter. We added a total of 115 sales reps in the third quarter, which is the second consecutive quarter growing sales headcount by more than 100 people. Year-to-date, our sales team has grown 32% compared to the beginning of 2022, with Apartments.com, LoopNet and CoStar increasing the most in terms of total heads added. We expect to add a net 300 sales heads in 2022.  Although it takes 12 to 18 months to get a return on a new salesperson, when fully productive, these 300 new sellers can produce approximately $70 million to $80 million in subscription revenue every year, and this is revenue that renews at over 90%. Over 5 years, this has the potential to generate almost 500% return on the cost of this investment. Clearly, from a financial perspective, the faster we can grow our sales distribution channel against a market that is worth tens of billions of dollars, the better off we will be.  Our contract renewal rate was 90% in the third quarter of 2022, slightly below the 91% renewal rate in the second quarter of 2022. This is a trailing 12-month metric that has fluctuated between 90% and 91% over the past 3 quarters, anchored by CoStar at 93% and multifamily at 90% in the third quarter.  Subscription revenue on annual contracts was 79% for the third quarter of 2022, 4 percentage points higher than the third quarter of 2021, reflecting the strong recovery in Apartments.com this year.  Turning to the outlook. We expect full year 2022 revenue to range from $2.175 billion to $2.18 billion, which represents an increase at the midpoint of the range by $5 million and implies an annual growth rate of 12% at the midpoint. Organic constant currency growth is expected to be 13%. We expect fourth quarter revenue to range from $566 million to $571 million, representing revenue growth of 12% to 13%.  2022 full year adjusted EBITDA is expected to range from $665 million to $670 million, which is an increase of $48 million from our previous guidance at the midpoint. This increase is a result of efficiencies realized in our residential investment program in both content generation, resourcing and marketing spend.  Fourth quarter adjusted EBITDA is expected to be in the range of $176 million to $181 million, indicating a margin of 31% at the midpoint. Overall, we're in a very strong position financially as we move through the final months of 2022. We are on track to exceed the growth and profitability targets we set for the business back in February. Our balance sheet is in great shape, and provides us a significant amount of funding flexibility to pursue our long-term growth strategies.  With that, I will turn the call back over to Cyndi.
Cyndi Eakin: I'm actually going to turn it back over to the conference operator, so they can introduce the question.
Scott Wheeler: Sounds like a plan. Over to you, Bailey.
Operator: [Operator Instructions]. Our first question today comes from the line of Peter C. Christiansen from Citigroup.
Peter Christiansen: And congrats guys on inclusion in the S&P, that's great. I got to ask the question. Any preliminary thoughts on investment spending for '23 for residential? Any sense of outpacing there would be helpful.
Scott Wheeler: Thanks, Pete. Good to hear from you. So yes, you noticed that we've been much more efficient this year on the residential investment spend. So I think that's good news. The other good news is it doesn't mean that all of that spending gets pushed into next year, because like I said, we have a lot more efficiency in the content generation, and we don't need to spend as much marketing for the traffic we're getting.  So we're not yet ready to give guidance on to the 2023 investment levels. We're working on those now. But we will keep you posted, and be confident that we are still on track to our 5-year numbers that we communicated previously on both the residential and the long-term growth and profitability of the business.
Operator: The next question today comes from the line of Jeffrey Meuler from Baird.
Jeffrey Meuler: So just on net bookings, obviously, up big year-over-year. I think it's typically seasonally weaker in Q3 than Q2, which was the case this quarter. But normally, I think that's due to apartments, and apartments it sounds like had a record sales month in September. So if you could just kind of like help reconcile what drove the sequential decline. And if you think the record sales in what is typically not the seasonally strongest month is the reflection of kind of the end market trends picking up with net absorption and builds and all of those stats to give us.
Andrew Florance: Yes. So it's a question of we're growing the apartment sales team. The sales force departments are at the highest productivity levels we've ever seen in any sales force across the company. We have been doing a better job at managing our price per lead and keeping that number fair for both us and our clients. And just the quality of our traffic and the strength of the platform has remained strong. So we're moving up to some really impressive production numbers. Scott, do you want to add anything there?
Scott Wheeler: Yes. Jeff, there was 1 other issue that I talked about briefly around the fees for the subscriptions on some of the home Pro access that triggered the $16 million write-off I mentioned. That comes out of the sales numbers. If we had not done that strategic decision, our sales would have been over $80 million for the quarter. And any other variation relative to the second quarter is really just normal quarterly fluctuation amongst the other businesses.  But really the standout, as we pointed out, was that apartments for really the first time had a third quarter that was stronger than the second, which is a great testament to both the sales team and the momentum we're seeing back in the apartments advertising space. When we acquired Apartments.com, third quarter used to be no growth and fourth quarter used to be a decline. So it's great to see it same records in the third quarter.
Operator: The next question today comes from the line of Ryan Tomasello from Stifel.
Ryan Tomasello: I guess it'd be helpful if you could provide an update on how you're thinking about the residential site traffic milestones that you've laid out previously. Have those changed at all in terms of the magnitude and timing? And how are you prioritizing the different levers there in terms of marketing campaigns, SEO and SEM and any other levers that you outlined previously?  And then from there, if you have any updated thoughts on the timing of the monetization strategy, when you decide to turn that on and what products you might intend to lean into first?
Andrew Florance: Sure. So I believe that we are on target, on plan for growing that traffic and are comfortable with the sort of $25 million, $50 million traffic levels we had laid out, unique visitor levels we have laid out. And yesterday, I was looking at a traffic chart that compared Apartments.com and Homes.com in the first 18 months after we began rebuilding them, and they matched perfectly. So the growth we're seeing right now is on target, but it's still early days. We just did a major switch over about a month ago. And we're seeing Google crawl the site at a great rate, which is good to see.  But it's a marathon, not a sprint, not a 5k, not a 10k, it's a marathon. And we just continue to layer -- bring layer and layer in to try to grow that traffic on SEO functionality, referrals and the like. I am encouraged by the fact that we are seeing the average number of visits to visitor go up significantly. That's telling me that people coming to the site are like in the experience, the fact that we have a fast performing site, the fact that we're actually showing who actually has the listing. That's uncluttered and it's clean.  Now we are not going to -- we're really focusing on the content, the quality of the experience and SEO. At this point, we are investing in SEM, but we're not investing aggressively in SEM. We're also not investing aggressively in consumer marketing. We are going to begin to ratchet up those levers once we are satisfied that we will have the optimal ROI for that investment based on the number of the sets of functionality we've delivered, the effectiveness of the SEO, the site performance.  So that will likely begin to ramp up going into '23. But we're on target for where we expect to be. And I look forward to another one of our incremental releases on the product coming out later this week.
Operator: The next question today comes from the line of John Campbell from Stephens.
John Campbell: Congrats on the continued momentum. I just wanted to revisit Ten-X. I mean, it does seem like there's a pretty meaningful revenue opportunity there, just, I guess, with rising distressed activity. On my math, I'm getting you guys kind of near $70 million or so of Ten-X, but I'm curious about kind of how to size up that opportunity over time. I think nationally, I think the distressed level is still like way less than 5% of the mix. If that gets back to, I don't know, like 10% or 25% or so of kind of the range we saw in 2012, like 2014, what could that look like for Ten-X? And then maybe as a side question there, maybe if you could provide what Ten-X kind of peaked out on revenue during kind of the heart of the crisis.
Scott Wheeler: Do you want to hit the...
Andrew Florance: Yes. Yes, I'll take that. Back in the heart of the last crisis, Ten-X peaked out, I believe it was between $100 million and $110 million of revenue, all of which was on distressed properties. And so you can clearly see there's significant potential. Whereas today, we are only between 15% and 20% of our revenue in Ten-X is coming from distressed. So it gives you some sense of based on your numbers of $70 million, take that distressed and then consider we could get to those historic levels, depending on the size of this downturn, then there's a big wave of opportunity there on the distressed from the historical revenue side.  And remember that the '08 distress didn't show up, the dislocation I didn't show up until '14 in full force. And that was really residential, not commercial. And so commercial like you could see comparable levels of the stress. I do believe that this time around, Ten-X is a much stronger product. The product is now integrated with LoopNet and CoStar. It is much more automated. The sales force is approaching twice the size of the sales force that they had at the last cycle, and it's very scalable.  So 2 things could happen together over the -- like just before I say that, we are building Ten-X to be a performing asset product so that, that has a core foundation of performing sales going forward. But there's no denying that it does really well in distressed environments. So you'll eventually see an end to the buyer/seller expectation disconnect, and they'll connect, you'll see trade rates go back up, and you could see distressed levels quadruple over the next 2 or 3 years. And that would just -- I think Scott's alluded to it, that could get you, I believe, well above the peak of the last cycle.
Operator: The next question today comes from the line of Stephen Sheldon from William Blair.
Stephen Sheldon: Really strong trends in multifamily this quarter. It sounds like the backdrop is becoming even more favorable. And your sales capacity and productivity continues to improve. So curious how you're thinking about the potential growth there, especially heading into the first half of 2023 and the potential for continued acceleration with any visibility you have at this point?
Scott Wheeler: Sure, Stephen. Thanks for the question. We're sort of giving any guidance, of course, at this stage for the next year. But you clearly noticed the trends in growth for multifamily have gone from a trough of 6% year-over-year, up to 11%. Now we expect it to be 16%. And based on the strength of this last quarter's sales, then we would expect that to continue north. We've always talked about getting back to those 20% growth rates in multifamily delivered a few years ago. And the way we think of it now is that we have certainly price moving north as the number of leads we produce in the platform have dropped the price per lead for our customers. So those are resonating well.  We're starting to see volumes come back into the platform, which we believe can deliver a good mid- to upper single-digit growth range for the business. And then like I mentioned, we're starting to see upgrades, outpace downgrades, which prior to the pandemic, that impact was typically in the 8% to 10% range a quarter.  So I think we have 3 really strong levers each to have capability of delivering high single-digit growth rates. I can't call which of that mix is going to happen in which quarter next year, but I think that's the measures we're looking at. And as Andy mentioned, our goal of doubling that sales force to get us to penetrate the other half of the large-scale market we haven't reached, and the vast majority of the mid-market that we haven't reached, there seems to be a great platform for us to extend into the market.  So hopefully, that color gives you a little sense of the progression we'll see next year and into the future..
Operator: The next question today comes from the line of Ashish Sabadra from RBC.
Ashish Sabadra: I wanted to focus on the M&A pipeline, particularly with the $750 million of equity raised. I understand it was opportunistic, but also should we assume that was that something is imminent? And then obviously, you've shown intent in the past to do some transformational deal on residential side. Is that an area that you would continue to focus on?
Andrew Florance: Yes. So we obviously have a great balance sheet now approaching $5 billion in cash on the balance sheet and continue to be strongly cash flow positive. So our primary new initiative is residential. So we are looking at all the opportunities out there in the residential space. And right now, we're in an environment where things are shifting very rapidly to a buyer's favor. And the question is, how rapidly and when is the right time to move on certain things. So we're very active in looking for M&A opportunities, but we're also monitoring market conditions and want to get the best results for the shareholders moving at the right time. Not being too greedy, but trying to observe a rapidly shifting environment right now to our favor.
Operator: The next question today comes from the line of Mayank Tandon from Needham & Company.
Mayank Tandon: Andy and Scott, congrats on the quarter. I wanted to focus for a moment on CoStar Suite. Could you maybe just peel back the growth from new accounts, logos versus increased penetration within the installed base and then the impact of pricing? I think, Scott, maybe you referenced that in your prepared remarks, but maybe a little bit more details around the underlying drivers of that segment specifically would be helpful.
Scott Wheeler: Yes, sure. Thanks for the question, Mayank. Yes, I did mention that a little over half of our growth is coming from new customers, and it's -- as we've added so many good platforms with hospitality and with lender and now the fund information that's coming out, CMBS data, it's a broad customer set that our sellers are having a lot of success in. So new customers are a strong part of our growth.  As you know, we are continuing to move more and more of our customer base onto the global CoStar platform that provides all the data and the product capabilities. That continues, and that's still providing a few basis points of growth or a few percentage points of growth across the platform, which is really, I consider a strong mix increase of around 3% to 4%. And then the remaining parts of those growth are split between increases in our renewals year-over-year, as well as existing customers then expanding their licenses or expanding their user numbers on the platform.  So those are the -- if you look at the top 4 areas that are driving the CoStar growth, you see those rise to the top in this quarter. It may shift a bit from quarter-to-quarter, but I think that gives us a strong platform to continue that size of growth going forward.
Operator: The next question today comes from the line of Andrew Jeffrey from Truist.
Unidentified Analyst: It's Scott stepping on for Andrew. So my question is end market health. Could you kind of discuss what you're seeing with customer sales cycles? How has that changed as the years progressed?
Andrew Florance: Can you repeat that first part of the question? You're looking at -- we lost the first part of the question there.
Unidentified Analyst: Sorry. Could you talk about end market health for your customers and just how the sales cycle is behaving as it kind of gotten elongated as we get further into the year?
Scott Wheeler: End market health. That's what you said. It's clear.
Andrew Florance: Yes. So at this point, at this point, we are not seeing any of our customers in materially diminished health. Obviously, individual owners of properties may be experiencing levels of distress with high vacancy rates or disadvantageous refinancing on properties that may have been pro forma at lower interest rates. But those individual owner situations don't tend to impact us. Even if somebody is having refinancing difficulties, they may -- they would still want to keep those properties filled. They would still want to understand what's happening in the markets.  So at this point, we are not seeing anything negative on sales cycle or any real significant customer distress. And we continue to operate in an environment where we would expect that -- I expect and believe that as you did see end market distress, you have offsetting countercyclical factors that also kick in.
Operator: The next question today comes from the line of George Tong from Goldman Sachs.
George Tong: I wanted to ask the M&A question a little differently. With respect to your residential strategy, can you discuss whether your 5-year target assume M&A? Or are you able to get there organically? And if there is M&A assumed in resi, is your focus more on acquiring residential data or residential online traffic?
Scott Wheeler: George, this is Scott. Thanks for the question. And just to clarify, in our long-term guidance, we gave the 5-year outlook, it did not include any M&A. Those are all organic numbers and any M&A would either supplant organic or be on top of organic in those outlooks. So hopefully that will clarify at least the assumptions we had in that outlook. And then Andy, do you want to take the...
Andrew Florance: Yes. And the answer to the second part of the question is we would consider either both or neither. So we're comfortable acquiring and integrating unique content that helps build a more vibrant residential product. We are also experienced with and comfortable with acquiring traffic. And if we can't find the right company at the right price, we could achieve our goals organically. I think it's more likely than not, however, that there will be a number of opportunities over the next 5 years. It would be really hard to believe that there are not. And I am spending probably 20%, 25% of my time right now engaging in those opportunities. The price is too high.
Operator: [Operator Instructions]. The next question today comes from the line of Jeff Silber from BMO.
Unidentified Analyst: This is Ryan on for Jeff Silber. Just 1 question on the CoStar Suite. What has been the feedback from customers on the transition over to the global solutions package? And then how did you expect that transition to flow through to average selling price?
Andrew Florance: What was the last part of that question?
Scott Wheeler: That was around flowing through the average selling price.
Unidentified Analyst: That's correct.
Andrew Florance: Yes. So the feedback has been very positive. We track Net Promoter Score, so we survey our clients extensively after any sort of interaction with them to understand how they're reacting to our products and services. We have seen a significant uplift in Net Promoter Score as people go from the local CoStar or the 1 or 2 modules of CoStar to go into the global suite.  And so that's really nice when you're out there achieving significant price uplifts and end up with a happier customer would, I believe, more likely to renew after you have gotten a price uplift. And it's sort of common sense because if you're just buying one of our modules for given cities, say, comps or just property, when you buy multiple modules and; multiple cities, it becomes a dramatically more powerful product with a lot more to offer the customer.  And at the end of the day, the price for our products, while they're not cheap, are not the primary factor. Most successful commercial real estate players can afford the product, and it's a very small percentage of their expense structure. So what they're much more interesting is the functionality and what it does for them. And so we're getting a very positive reaction from folks as they upgrade, and I think it will show higher renewal rates over time. And it definitely is lifting the ASP. Scott probably has some specific data on that.
Scott Wheeler: Yes. If you look at the increases on the upgrades that we've done so far, the average upgrade has been about 20% to 25% of the price being paid prior to the upgrade. So that's really good value accretion. But keep in mind, this isn't a significant number of our overall subscribers on CoStar. So the effect of the total growth rate is only 200 to 300 basis points or so.
Operator: Thank you. There are no further questions at this time. So I'll turn it back to Andy to wrap up.
Andrew Florance: Well, thank you very much, Bailey. I would like to thank everyone for joining us for our third quarter 2022 earnings call, and we look forward to speaking with you again in our year-end call on February 21, 2023, which will be our 98th consecutive earnings call with me having the honor being at the helm. And you can imagine, we're going to make a big deal about our 100th earnings call. But until then, stay safe, and thank you very much for participating.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.